Operator: Thank you for standing by. My name is Van, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2025 Hecla Mining Company Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Mike Parkin, Vice President, Strategy and Investor Relations. Please go ahead.
Mike Parkin: Thank you, and good morning for joining us on Hecla's Third Quarter 2025 Results Conference Call. I am Mike Parkin, Vice President, Strategy and Investor Relations. Our earnings release that was issued yesterday, along with today's presentation, are available on our website. On the call today is Rob Krcmarov, President and Chief Executive Officer; Russell Lawlar, Senior Vice President and Chief Financial Officer; Carlos Aguiar, Senior Vice President and Chief Operations Officer; Kurt Allen, Vice President, Exploration; as well as other members of the management team. At the conclusion of our prepared remarks, we will all be available to answer questions. Turning to Slide 2, cautionary statements. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and involve risks as shown on Slide 2 in our earnings release and in our 10-Q filings, with the SEC. These and other risks could cause results to differ from those projected in the forward-looking statements. Non-GAAP measures cited in this call and related slides are reconciled in the slides or the news release. I will now pass the call over to Rob.
Robert Krcmarov: Thank you, Mike, and good morning, everyone. So turning to Slide 3. Let me just start by reminding you why Hecla stands apart in the silver sector. As the oldest silver company on the New York Stock Exchange with a history dating back 134 years, we operate exclusively in the premier jurisdictions of the United States and Canada. We maintain peer-leading silver exposure on both a revenue and resource basis with an average reserve life that's double our peer group. We're building project momentum through strategic investment in our pipeline, and we're achieving cost excellence as the lowest cost producer among our peers. I've got to say these are exciting times, and Hecla really is thriving on strong silver and gold prices. We're using this momentum to strengthen our finances, fund high-return projects and boost shareholder value. But I think the outlook is even brighter. Silver faces its fifth consecutive year of supply shortages with rising industrial demand and investment flows expected to support prices for years to come. And unlike most of our peers, we're uniquely positioned with one of the most favorable silver to gold revenue ratios in the sector, allowing us to capitalize on the silver strength and drive meaningful value creation for our shareholders. Moving to Slide 4. Q3 really was exceptional, and just let me walk you through why. Firstly, record results. We delivered record results this quarter. We hit revenues of $410 million. Net income came in at $101 million and adjusted EBITDA was $196 million. These aren't just numbers. They prove that our business model works. We capture upside in strong markets while our cost position offers protection in weak ones. Now here's what matters a lot, and that's our balance sheet transformation. Net leverage has improved from 1.8x this time last year to 0.3x in Q3. So that's an 83% reduction. And that's in a single year. That's a structural derisking of the company. This deleveraging consisted of fully repaying our revolver, redeeming $212 million of debt and paying the CAD 50 million note due to Investissement Quebec. So this deleveraging effort has eliminated over $15 million in annual interest expense. We've gone from being capital constrained to capital flexible. Our cash flow generation has been nothing short of stellar. We've generated $148 million in operating cash flow, while consolidated free cash flow came in at $90 million. And here's the key piece. All 4 of our producing assets, Greens Creek, Lucky Friday, Casa Berardi, Keno Hill generated positive free cash flow for the second consecutive quarter. So that's operational momentum. On the operational front, our silver production was 4.6 million ounces, up 2% from last quarter. Cash costs were negative $2.03 per ounce, thanks to strong by-product credits, while all-in sustaining costs came in at $11.01. As a result of this performance, we've tightened our production guidance and reiterated the cost guidance. Lucky Friday surface cooling project is progressing on track and is expected for completion in the first half of 2026, while Greens Creek received its wetlands permit for the dry stack tailings expansion. Completion of these projects is critical to the future success of the company. So in summary, our operations have executed really well. We've derisked the balance sheet and built financial flexibility. We're cash-generative across all assets. And we're positioned to invest in growth, and that's the transformation story. I'll now pass the call over to Russell.
Russell Lawlar: Thank you, Rob. Moving to Slide 6. I want to continue to highlight the strong financial performance we delivered during the third quarter. We generated $393 million in mine site revenues with silver continuing to be our primary revenue driver at 48% of the total, followed by gold at 37% and base metals rounding out the balance. This percentage of silver revenue, especially with the jurisdictions in which we operate makes us a standout in the industry. Our silver margins remain robust at $31.57 per ounce, representing 74% of the realized price of silver with all-in sustaining costs of just over $11 per silver ounce. We're demonstrating excellent cost discipline across our operations. Our net leverage ratio improved to 0.3x during the quarter, the lowest in more than a decade, down from 0.7x in the second quarter. This reflects our adjusted EBITDA growing to $506 million on a trailing 12-month basis as well as our significant reduction in overall gross debt outstanding while maintaining disciplined capital spending. Most importantly, we generated consolidated free cash flow of more than $90 million during the quarter. Greens Creek led the way with nearly $75 million, demonstrating why it remains one of the world's premier silver mines. We continue to see the free cash flow inflection we've been speaking about at Casa Berardi with nearly $36 million in free cash flow during the quarter, while Lucky Friday added $14 million and Keno Hill impressively contributed more than $8 million, while we continue ramping that asset up. The third quarter marked the second consecutive quarter of all of our producing mines contributing to positive free cash flow. As you can see, at current prices, we anticipate generating significant cash flow. As we turn to Slide 7, I'll walk through our capital allocation framework, which is a discipline and focus -- which is disciplined and focused on 6 clear priorities with each one having a specific purpose. Our first priority is investment in safety and environmental excellence. This is non-negotiable and is the foundation of everything we do. Second is investing in sustaining capital at our operating mines. We target a minimum of 10% to 15% returns at these operations. Investing in sustaining capital keeps our production stable, extends our mine lives and generates cash flow with low execution risk. Third is our investment in growth capital, where we target returns of at least 10% to 12%. This investment is intended to increase production and extend mine life. However, we will only make these investments if they demonstrate robust economics at conservative prices. Fourth is investment in exploration. Historically, we've underinvested in exploration. However, because of the deleveraging of the balance sheet and associated cash flow that's been freed up, we anticipate further investment in this area. In fact, we are currently targeting 2% to 5% of revenues as we look to 2026. Investment in exploration provides asymmetric upside. And although we're planning to invest more in this area, we'll also be prudent with our investors' dollars and target the highest return opportunities, both brownfield narrow mines and greenfield optionality. Fifth is we plan to make further investments in deleveraging and strengthening our balance sheet. From a pure financial perspective, we anticipate a return of 5% to 7%. However, more importantly, having a strong and delevered balance sheet reduces risk and provides flexibility. It also allows us to maintain investment during downturns and seize opportunities when they arise. The last priority is shareholder returns. We currently pay a quarterly dividend, and we'll consider further shareholder returns only after operational requirements are met and the balance sheet is strong. That said, we're confident enough in cash flow to start thinking about this. In summary, this framework isn't complicated. It's about maximizing value while maintaining financial flexibility to navigate cycles. We're operating under this framework now, and we've seen better prices and stronger cash flows. We'll see those -- the capital and exploration projects we invest in meet these above criteria, including the remainder of this year. And with that, I'll turn the call to Carlos.
Carlos Aguiar: Thank you, Russell. Turning to Slide 9. Greens Creek is delivering exactly what we need from our cornerstone asset, a strong operational quarter, driving robust free cash flow generation. The third quarter silver production came in at 2.3 million ounces with 15,600 ounces of gold, both tracking well to full year guidance. Sales came in at $178 million, up 46% from last quarter, driven by higher volumes sold and metal prices. More importantly, the unit economics are excellent. Cash costs came in at negative $8.50 per silver ounce and AISC of negative $2.55 per ounce, both offset by-product credits. Free cash flow was nearly $75 million for the quarter. Based on our strong year-to-date performance at Greens Creek, we are tightening our silver and gold production guidance and lowering our capital expenditure guidance while reiterating our cost guidance. Moving to Slide 10. Lucky Friday continues to do what it does well, deliver consistent profitable silver. Third quarter silver production was 1.3 million ounces with a 7% increase in milled silver grade. Sales came in at $74.2 million, up 15% quarter-over-quarter. The free cash flow was $13.5 million, nearly triple the prior quarter, reflecting improving operational momentum. The surface cooling project is on track for 2026 completion. This investment is strategic. It opens access to deeper high-grade zones, extending mine life and profitability. Thanks to our strong year-to-date performance on Lucky Friday, we are tightening our silver production guidance, reiterating our total capital expenditure guidance and modestly raising our cost guidance. Turning to Slide 11, Keno Hill. We have now delivered 2 consecutive quarters of positive free cash flow, a significant milestone. Third quarter silver production came in at nearly 900,000 ounces at an average milling rate of 323 tons per day. Keno Hill is well positioned to deliver on its 2025 silver production guidance. The free cash flow was $8.3 million, positive cash generation while still in ramp-up and investment mode. We have hedges through the second quarter of 2026 providing silver price protection during this period of capital investment. Our reliability improved significantly in the third quarter, thanks to the Yukon Energy successful repair of the hydroelectric plant. This reduced a key operational risk we have been managing. Consistent with the other 2 primary silver mines, we are tightening our silver production guidance at Keno Hill based on a strong year-to-date performance. Capital expenditures are expected to modestly exceed our original guidance as we are outperforming on several key factors, including the underground development, which is tracking 13% above plan year-to-date. Turning to Slide 12. Casa Berardi delivered another solid performance, setting the mine up well to achieve guidance. Gold production of 25,000 ounces, down 11% due to planned lower underground ore grades, and cash costs of $1,582 per ounce and AISC of $1,746 per ounce. We are tightening gold production guidance for Casa Berardi based on a strong year-to-date performance while maintaining our cash cost and AISC guidance. Our 2025 capital expenditure guidance for the mine remains unchanged. The company is actively evaluating options to extend production beyond 2027. These initiatives could potentially reduce the previously disclosed production gap and enable Casa Berardi to remain a sustaining cash flow contributor to the portfolio. I'll now turn the call over to Kurt.
Kurt Allen: Thanks, Carlos. Moving to Slide 13. Our Nevada assets offer opportunities to unlock hidden value. We have 3 key properties with significant historical production. Midas, 2.2 million ounces of gold historically, with a fully permitted mill and tailings capacity. Hollister, 0.5 million gold equivalent ounces within hauling distance of Midas. And Aurora, 1.9 million ounces of gold historically with an on-site 600 ton per day mill. All properties have significant exploration potential, minimal regulatory hurdles and existing infrastructure. We're developing a comprehensive Nevada strategy with an exploration update on Nevada, Keno Hill and Greens Creek coming later this month that will shed light on our Nevada exploration progress and what's to come next year. You can expect a heightened level of activity in Nevada next year as we work to surface value from this exploration portfolio. I'll now turn the call over back to Rob.
Robert Krcmarov: Thanks, Kurt. I'm pretty excited what you and your team are doing in Nevada, so keep up with this work. We've got 4 strategic priorities that flow directly from our transformation. And the first is long-term value creation at Keno Hill, prioritizing permitting and execution. At current prices and even at lower prices, this asset is expected to generate material returns at 440 tons per day and has expansion optionality beyond that. Second, continued deleveraging and strengthening our balance sheet with focus on free cash flow generation across all assets. And we've proven in Q3 that we can do this rapidly when the metal prices support it. Third, establish a capital allocation framework, balancing further debt reduction, organic growth investment, exploration and potential shareholder returns. And fourth, portfolio rationalization, continually assessing which assets deserve more capital and where to monetize noncore assets for high-return opportunities. With that, I'll turn it over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Heiko Ihle from H.C. Wainwright.
Heiko Ihle: Can you hear me all right?
Robert Krcmarov: We can hear you.
Heiko Ihle: Perfect. Do you want to just go through some of the inflationary factors that you're seeing at mine -- at your asset base across the mines. I assume the effects of that have been muted a little bit in the last few quarters. But maybe just go through some of the inputs or equipment or hires, whatever, where you're still seeing inflationary impacts and also maybe some supply chain bottlenecks?
Russell Lawlar: Heiko, this is Russell. I'll take this question. And Carlos, please chime in as well. But I would say that the biggest inflationary factor we've likely seen or the biggest maybe cost pressure that we've seen is with the metals price environment that we've seen, there's obviously competition for labor. And so we have to be competitive as it relates to what we pay for labor, but also filling roles and looking for where we can't fill them, we have to fill them with contractors. And that's been something -- a challenge that we've had now for quite some time. It's just with the higher price, you see that getting exacerbated. But then in addition to that, what we do see from a pure inflationary perspective, I'd say the impact is relatively muted, like you said, but we are seeing some tariff costs as we think about capital projects and maybe there's components that we have to import. And so then we'll see potential tariffs on those types of items. We try to minimize that, right? And we try to find the best competitive bid for the quality of components that we're looking for. But there's a little bit there as well. Carlos, do you have anything to add to that?
Carlos Aguiar: Yes, there's a little bit related with mining supplies and reagents and air movement. That is mainly all the stuff related with the workforce consultants and labor.
Heiko Ihle: I had a different follow-up question planned, but now you got me curious. I mean you spent almost $9 million on exploration, $8.8 million, I think it was. What are you seeing with labor costs related to drilling and also timing for getting your assays back? Is there any positive or negative changes?
Robert Krcmarov: You, Kurt?
Kurt Allen: Yes. This is Kurt. We have seen some increase in our drilling costs. Really, it's associated with labor, drillers and drillers helpers. Regarding assaying, turnaround has been somewhat normal. Of course, this time of the year, it starts to tighten up a little bit as people are getting their summer sampling programs into the assay labs. But it hasn't been as bad as it was a few years ago.
Operator: Our next question comes from the line of Alex Terentiew from National Bank.
Alexander Terentiew: Congrats on another great quarter here. I got 2 questions. The first one, I think your last comment there about providing an update on exploration and projects in about a month or so that may kind of -- might have to wait for that, but I'll ask it anyways. I mean obviously, your balance sheet has improved quite a bit and your cash flow outlook has improved. So when it comes to exploration next year and projects that you're getting excited about, can you give us any kind of taste of where you are? What you're thinking about? Maybe you got the permit approval to start doing some exploration as well. You made a good mention here of Nevada. I'm just trying to get a better look of -- a sense of what we can expect there? And then my second question, Keno Hill, again, the second quarter in a row where you guys look to seem to have made some pretty good progress. Can you remind me of what metrics you need to see there to get that mine or that project rather declared commercial?
Robert Krcmarov: Sure. I'll start with exploration, and then I'll hand it over to Kurt to fill in some more details. So we're going to substantially increase our exploration budget in Nevada. In fact, we've increased it beyond what the starting budget was this year. I'm quite excited by the results that we're getting there. We've also had quite a few dormant projects, which we expect to reinitiate. So things like the Rackla build targets up in the Yukon. This is virgin country with outcropping gossans, and so we need to make some advance there. And then obviously, our near-mine exploration where we continue to do resource extension drilling and seek new discoveries. Could you just fill in some more gaps, please?
Kurt Allen: Yes. Next year, we're really planning on focusing on near-mine and brownfields to start with. That's going to get the biggest part of the budget for next year. And then we're also doing more greenfields exploration and early-stage exploration than what we've done in the past with a generative exploration program that will be kicked off next year as well. We've got some really good targets. We've got some really good property packages. As Rob said, the Rackla district is just ripe for discovery, and we're looking forward to getting in there and spending the summer, doing the basic boots on the ground field work there. And then Nevada as well. Go ahead, Rob.
Robert Krcmarov: Kurt, Sorry.
Kurt Allen: And Nevada, I'm really excited about. Like we talked about, we've got infrastructure, minimal requirements on the permitting side of things. So that's really, in my view, a faster track to production probably from any of our exploration projects outside the mine -- the current mine operations areas.
Robert Krcmarov: If I could just...
Alexander Terentiew: Yes, go ahead.
Robert Krcmarov: Sorry. If I could just add, Kurt touched on a point that's quite important, and that's that we're increasing our project generation efforts. I mean coming into this -- coming into Hecla, one of my observations was that we generally stuck to our knitting. We stuck to our existing mine sites and focused all of our exploration there. I've talked about portfolio rationalization, and we will be farming out and divesting some projects, but we need to replace that. And so project generation is an important skill to have. We also need to become a little bit more commercial and create a whole series of options. And so look in the future for us to be doing earn-in agreements on other company properties. So that's exploration. On Keno Hill, look, for commercial production, we've got 5 criteria that we laid out for commercial production. And honestly, we're really only there on one, and that's the silver recoveries right now. Everything else, the completion of the major components, hitting 75% of mill capacity, finishing the major CapEx, that's all still in front of us. And so our current ramp-up plan really has us getting to commercial production around about 2027 at roughly 345 to 385 tons per day. And then the following year, 2028 would move towards nameplate throughput. And that's assuming that we get the water discharge approval sorted with the Yukon regulators. So in summary, call it, 2027 for commercial and 2028 for full nameplate.
Alexander Terentiew: Okay. That's great. And obviously, a lot of exciting stuff to come next year on the exploration front. Looking forward to it.
Robert Krcmarov: Thanks, Alex.
Operator: [Operator Instructions] Our next question comes from the line of Joseph Reagor from ROTH Capital.
Joseph Reagor: I had a question on your guidance. Obviously, raising the low end was great. But it seems like if I look at, say, like Greens Creek's gold production, Lucky Friday's silver and Casa's gold production, you'd have to have a pretty weak quarter for Q4 to not hit like above the high end. And so I'm wondering if that's just a matter of like company policy not to raise the high end of guidance? Or is it that you guys are having some expected downtime or anything during the quarter or lower grades? Just help me figure out how to stay within that high end.
Russell Lawlar: I think, Joe -- Joe, this is Russell. I'll take the question, but my colleagues, they will chime in as well. If you go look and take a look at the -- in our earnings release where we have our past 5 quarters of production, you will see Greens Creek, for example, does have kind of a production profile that will vary, right? So Q3 of last year, Q4 of last year, we were less than 2 million ounces. I think what the guidance would probably tell you is we'll probably see a 2 million or so ounce quarter at Greens Creek for the Q4. And I think as we think about our guidance, we try not to guide to the quarter, but we also understand that we've only got 1 quarter left. And that's kind of where our models say we're going to come in.
Joseph Reagor: Okay. That's fair. And then looking at the really strong price realizations you guys had in the quarter. I mean normally, there's some fluctuation, but it was abnormally strong this quarter. Was there anything specific that led to that? Was it just timing of shipments? Did you have more like late quarter shipments and early quarter shipments and that's how the weighted price got so well above spot? Or is there something else I'm missing there?
Russell Lawlar: I would say I'll jump in again. There's 2 factors here. One is the timing that you mentioned. The Greens Creek, obviously, is our largest silver producer, and they ship once a month. And they tended to ship later in the quarter. And as you see the price change throughout the quarter, it ran up at the end of the quarter, which obviously weighted our sales toward the end of the quarter. That's part of it. The other thing that -- and I've got Anvita Mishra here, she's our Treasurer. You guys all know her since she did IR recently. With the change of the silver dynamics, where we've seen the more upside potential, I'll say, we've actually started to utilize more collars as it relates to our provisional hedging, which gave us that upside. And so I think in the past, you would have seen us use forwards. But as we saw the market change, we started to be more flexible on using collars for provisional hedging, which has allowed our investors to enjoy more upside. So I would say it's both of those factors.
Operator: [Operator Instructions] There are no further questions. I will now turn the call back over to Rob Krcmarov, President and CEO, for closing remarks.
Robert Krcmarov: Thank you, Van. So let me bring this all together. We came into 2025 with a clear mission, and that's to transform Hecla from a cash-constrained operator into a financially flexible company that can pursue value-creating opportunities. And I think our results clearly demonstrate that we've executed on that plan. And really, there's 4 things I want to reemphasize. First is operational execution is solid. All 4 of our producing assets generated positive free cash flow this quarter. Greens Creek and Lucky Friday are performing as we expected. Casa Berardi is tracking cost improvements, and Keno Hill has achieved consecutive quarters of profitability and is ramping towards our next production target of 440 tons per day. Secondly, record financial performance with quarterly revenue, net income and adjusted EBITDA at all-time highs. And we did not leave deleveraging to chance. We combined operational cash generation with strategic capital deployment to fully repay our revolver, redeem $212 million in debt and fully repay the maturing IQ notes from free cash flow. And in doing so, we moved from 0.7x to 0.3x leverage in a quarter. So that's a disciplined capital management, and it gives us the flexibility that we need. Third, we have general -- we have genuine optionality now. So reserve lives between 12 and 17 years, expansion potential at Keno Hill, strategic evaluation of the broader portfolio to surface value for shareholders and the ability to pursue value-creating M&A, but only if the right opportunity emerges. And that flexibility is what we lack as a cash-constrained company. The next phase is about demonstrating consistent execution, stable cash generation, continued deleveraging and disciplined capital deployment. And that consistency is how we recapture our historical value premium, and we're confident in our path. Fourth, strategic direction with 4 well-defined long-term pillars that will guide our capital allocation, and we'll elaborate more on that in our Strategy Day on the 26th of January, our Investor Day rather. And so summing up, I think there's a compelling valuation with industry-leading reserve life, peer-leading silver exposure and strong jurisdiction quality, all at reasonable valuation that we believe offers significant upside. And we're executing on our plans, generating substantial free cash flow and building a foundation for sustained value creation for shareholders. With that, thank you, everyone, for dialing in, and have a good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.